:
Operator: Good afternoon and thank you for waiting. Welcome to the Earnings Results Call for CSN for the results regarding the first quarter of 2013. Here with us today we have the management of the company. We would like to inform that this call is being recorded and all participants will be on a listen-only mode during the company’s presentation right after that we’ll move to our question-and-answer session and in future instructions will be given. (Operator Instructions) Today’s call results will be broadcast via internet and you can track it at internet www.csn.com.br/ir where the presentation is available. The slide selection will be controlled by you and the replay of this event will be available as soon as the call is over. We’d like to remind you that this is the large number of participants the company will address at most two questions for participants with no rights to reply. Therefore we would like to ask you to make all questions as soon as the line is opened. And before proceeding let us mention that forward-looking statements made during this conference call regarding CSN business perspective, forecast, operating and financial targets are based on the beliefs and assumptions of the company’s management as well as on information currently available. Forward-looking statements are not a guarantee of performance and involve risks, uncertainties and assumptions. As they refer to future events that may or may not occur. Investors should understand that general economic conditions, industry conditions and other operating factor could also affect the future results of CSN and need the results to differ materially from those expressed in such forward-looking statements. Right now we would like to turn the floor to Mr. David Salama, Executive Directors for Investors Relation and he will carry out the presentation for the operational highlights for our financial highlights for CSN during this last quarter. Please Mr. David.
David Salama: Good afternoon everyone. Thank you for participating on our call to discuss the results of the first quarter 2013. Here with me I have other directors from CSN with partners by number three with the consolidating results for the first quarter. The consolidated net revenue of the first quarter was R$3.6 billion and it was 18% lower vis-à-vis in the fourth quarter of 2012 without inflecting our sales of iron ore vis-à-vis the first quarter of 2012 and over increased in 6% this was higher sales for the products. The consolidated growth income was up R$720 million in the first quarter 22% lower vis-à-vis the consolidated growth and coming in the last quarter consolidated net income were $16 million vis-à-vis $93 million in the first quarter of 2012. On the other hand investment in the first quarter totaled $109 million, $108 million in the same area 97 mining and 184 logistics. Adjusted EBITDA in the first quarter was $902 million, 26% lower than the fourth quarter if that was due to the contribution of mining, steel, logistics and energy segments. EBITDA margin of the first quarter was up 25%, two percentage points below the fourth quarter of 2012. Right now let’s flip slide number four where we’ll have results per segment. And that is why we have net revenue and adjusted EBITDA per segment the steel segment represented 72% of the net revenue and 55% of total EBITDA in the first quarter of 2013. Mining was 18% of net revenue and 24% of EBITDA. On the slide number five we’ll go into the details of the steel sector. Let’s start by the top left corner. In the first quarter the total sales volume for steel was up 1.6 million tonnes a record for CSN in the first quarter that was a second best quarter for CSN in terms of steel sale sand it represented a 3% increase vis-à-vis fourth quarter of 2012. In total sales 77% where in the domestic market 21% in our overseas subsidiaries and 4% export. Now the top right corner we have the net revenue for steel it was R$2.9 billion, a 4% higher vis-à-vis fourth quarter of 2012 and that was same due to the higher volume and sales. Now in the bottom part on the slide you’ll have the EBITDA information the adjusted EBITDA in the first quarter was R$528 million and the EBITDA margin 18%, 2 percentage points vis-à-vis the fourth quarter of 2012. Now next slide we have the same analysis but now for the mining sector. Once again let’s just talk with the top corner in the first quarter that source of iron ore sales on Namisa totaled 4.1 million tonnes, 35% lower than the 4Q12. it’s important to stress the size fall into our customers CSN is additionally 1.3 million tonnes of iron ore in the first quarter it’s still on the top corner but not to the right we have our net revenue for the first quarter R$747 million, 43% lower vis-à-vis the prior quarter that was due to the sales of iron ore and partially offset by higher prices in the first quarter and I also would like to highlight that our efforts prior to now in the first quarter was of R$103 vis-à-vis the R$88 that we had in the fourth quarter of 2012. And with just a reminding as in the bottom part of the slide. In the first quarter, we just had about R$326 million and the margin was of a 44% of the same level of the fourth quarter of last year. Slide number 7, our net debt. The net debt of R$68.2 billion at the end of the first quarter of 2013, was R$500 million higher vis-à-vis the fourth quarter of last year with a gross debt of R$40.3 billion, and cash of R$14.1 billion, CapEx at the first quarter was R$500 million that charge of the disbursements also R$500 million and the dividend payment was of R$300 million and are both contributed to increase the net debt. But those were offset by the EBITDA of R$900 million in the first quarter of EBITDA and of the first quarter debt ratio net debt at that was up 3.75 times the EBITDA of R$4.3 billion of the last 12 months. The total of the gross debt at the end of March was up 65% in reals and 35% in foreign currency especially in North American dollars, 91% of that is a long-term and 9% short-term. With that we conclude our presentation. And now we’ll open the sessions for questions and answers.
Operator: Thank you. We will now start our question and answer session for investors and analysts. (Operator Instructions) Our first question is from Mr. (inaudible) from (inaudible). Please go ahead.
Unidentified Analyst: Good afternoon, thank you for the opportunity. My first question about iron ore, if you could please talk about the procurements in the quarter that sales dropped strongly compared to the last quarter and you had mentioned in the press conference call but if you could help me understand what’s been in this decrease was your own production and what might have been upsets and not yet upsets with purchases from third-parties and how we can expect that to be in the next quarters? that’s my first question and my second question about production as well but the steel production I’d like to understand on the fact this is the second quarter that you find slabs from third-parties and the production involved over they went down it’s been shown quarter-on-quarter as a year that I would like to understand what’s going on is it on economic issue to acquire slabs from third-parties that has changed over the last year with part of the strategy and what can we expect should we continue to expect you to purchase the slabs from third-parties over these coming periods?
Unidentified Company Speaker: (Inaudible) I’m going to ask Daniel dos Santos, our Mining Director to answer your first question and right after that Martinez will answer about the steel question.
Daniel dos Santos: Good afternoon (inaudible). In the beginning of January, actually the end of January we had that event with the repayment one of the two pieces of the summary that play in the yards at Casa de Pedra on those ore. And after that railway products that sent to port, one of those machines collapsed at the end of January so we had to stop that operation as I explained in the last call, because it was a critical situation for the integrity of the equipments end of the port of a site. Throughout quarter we started allocating the resources we have our ore operation at Casa de Pedra allocating the resources to replace the capacity of that piece of machinery. The majority of the resources were allocated, and in the end of April we already started to present some recovery. So now it’s starting a production within the pace (inaudible) and from now on we will be able to reach what was projected with the expectation that in the second half of the year we will have an additional gain to offset those some of losses of the first quarter. We had to really two fronts first is the Namisa and the other is the mine I’m sorry and the other is the yard. At the mine, we opened a new front in a region called (Muscachie) well it’s such a large mine that have had different municipality so this is the neighboring municipality still in line with the Casa de Pedra we have a very high quality of the ore, and it allows us to allocate in that region and that’s that we had done some piece of the equipment for grinding that allows for the production of high quality ore that may be loaded directly into the train so this include too the processing plant that’s one of the thing that had been implemented that has been used as one of the components of the recovery of production so that we can reach our objectives or goal for the year. Aside from this opening at this new front minings on that ore very ore-rich area and the installation of these pieces of equipment we have also anticipated some mining equipments that were tried to be acquirers in the three year period but we anticipate that piece of that equipments that are being allocated to cover the background to reduce the ability and getting into the high quality of the product which will also be but with better prices and presenting better results than expected. The second front is that we worked on was in the yards where the machine operates. We implemented a series of labor sets and some devices that we called hoppers that exceed the country of yards to replace those machines in the concentration plants. And we also had a device succeeded directly for the cost of the production. With all these we increased some out of our capacity in their processing plants and therefore on production. This is implemented, it’s ongoing we have started realizing the results of that at the end of April and now in May we already achieved good results with those actions. Aside from that we are taking advantage as a good moment with a good period in the region for the ore supply because we all know that the producers will encourage to increase production in the region because of the proposed capacity that has been announced and didn’t come true except for CSN that is moving on at full speed. The second generator already on from the conditioning phase. But with that we’ll take an advantage of that situation at that moment, and this has been helping us some offset some of the losses so in terms of purchasing ore and the use of alternative capacity things are moving well, we’re very optimistic. And we are able to meet our goals in the second half of the year with the arrival of the reclaimers we shall exceed slightly lower capacity and then offset part of the losses that we experienced on the first quarter. We’re maintaining the sales and the exports at around 29 million and 30 million tonnes exported at the port. This number has just been reviewed considering the timeline and the arrival of this first what I just explained and we’re very confident that we will be able to maintain this level with this recovery that has been occurring since the end of April. And it will be continuing throughout the year with the increase of capacity in the port and the entry of this results that have been and are being allocated to mining.
Luis Fernando Barbosa Martinez: Hi, (inaudible) it’s Martinez about the purchase of slabs since to make very clear to you that has happened, there are two different moments that we have for purchasing slabs in the fourth quarter of last year 2012 this condition of slabs was related to maintenance that was clients maintenance at the plant and through the (inaudible). So it was the plant maintenance that the purchase of plants in the fourth quarter was to end those were the maintenance that was going to be placed at the mill or the plant and that was what was done. In the first quarter we acquired pretty much the same amount but those on the outside we had two important events. First was the reclaimer we ended up increasing the ore performance that if we add the amount of ore with which should help growth and that just need a greater amount of coke in the blast furnaces and in that first quarter the other cost for plants our own production cost of plant was high because of the two events that I mentioned the reclaimer that was the problem for mining and the quality of the ore itself. So, in the first quarter of course in our distributors had about a cost and to sell the market after all we had an expressive sales volume that in the first quarter the company made the decision to acquire slabs from the market and of course we have to, we must consider the cost of purchasing slabs in the market at every time and if we have new acquisition opportunities of course we will be watching initially the problem was maintenance at the Presidente Vargas unit is completely solved the reclaimer is back the level of quality of the oil is better. Our second quarter represent a probably a slab cost of around R$500 and this is our historic cost for slabs. So, at this point I don’t see new slab acquisitions from third-parties in the second quarter unless there is an opportunity to meet the market and then the relationship between cost and performance is beneficial so that’s basically the affirmation for the slabs that we had in the fourth quarter and in the first quarter.
Operator: Our next question comes from (inaudible), HSBC. (inaudible), the floor is yours.
Unidentified Analyst: Good afternoon everyone, thank you for this opportunity. First my question is about the leverage where you see the level of leverage in the quarter which is somewhat four time the other day I would like to know if you have a specific manager to leverage the company we’re seeing the lower level of CapEx in the quarters and how Namisa is fit to business strategy that’s my first question?
Unidentified Company Speaker: (inaudible), can you ask your second question now that you please because then we can address both of them. Thank you.
Unidentified Analyst: Okay, the second question and I know that it might not be very in the context or may be an early question but we know that the media is talking a lot about the TSA we know you’re kind as interested in those assets in Alabama and in Brazil so I’d like to understand the rational now what do you see in terms of potential about that asset or is it just a matter of cap advancement is it any, do you have any advantage in terms of cost, what are the long-term potential that so if you can be brief about it and talk a little bit about that assets certainly Alabama what type of synergy you can bring from that I really appreciate? Thank you.
Unidentified Company Speaker: Perfect (inaudible), thank you for your questions. I will take this opportunity and address both of them. About leverage you saw that right now in the quarter we are at 3.7 times the EBITDA of and EBITDA R$4 million and something R$4 billion and something and we don’t have a sound plan for this year. We would like to recover our result that has been already mentioned about Daniel when he talk about mining these figures will be very clear to you in the next quarter. Our two area is still has good performance and sales and we’ll also have the recovery and there is too cost. So, all these effect put together will give us an idea that our performance will be more reasonable and much closer to CSN’s history that will be very clear to you and it will allow us to close the year and we do have our internal targets we wanted to have a ratio of net debt and EBITDA this year below 3 times. We are still pursuing that target in terms of our average. And needless to say that this company has always been very conservative in terms of cash and I can assure you that we’ll still keep following that base especially if we take into consideration our investment we have had for the next quarter. About TSA we have always been very transparent to the company analysis the opportunity and everything that is available in the market but we always do that in a very conservative way then very realistic as well in a way that our final process is related to check if we’ll be able to bring value to our shareholders. There is nothing new since the last call that we had and what I can assure you is that the company will keep on being very conservative. If anything new comes up we will communicate to all formal means that we have available already.
Operator: Our next question is from (inaudible). Go ahead Mr. (inaudible).
Unidentified Analyst: Good afternoon (inaudible), good afternoon. I have two questions first going back to mining you just said with the company maintain exports of 29 million tonnes for the year. I’d like to verify how much do you estimate of this volume would be of your own production and how much from purchase from third parties that’s my first question. The second about those tier markets, if you can talk a little bit about the policy of the few clients if what was the amount was fully implemented and is real for more increases on the short-term? Thank you.
Unidentified Company Speaker: About the export of 29 million we recently reduced that number due to the allocation of alternative resources and the edition of the machine was very confident that there will be throughout 29 and 30. With those informed these figures in a consolidated way Namisa, Casa de Pedra and we produce ores. This year exceptionally we’re finding the opportunity the unique opportunity to seek more individual and we’re being very successful contracting ore from third-parties. I believe that this is all the conditions should be able to deliver the 30 million.
Luis Fernando Barbosa Martinez: Hi, (inaudible) this is Martinez. First regarding the markets even though we are seeing a domestic find about the market. I see it completely different the first quarter was very good for CSN in which the record for the domestic market and overall the incentives that we have from the government are driving the investments in the main sectors of the economy and all segments that are connected to steel are presenting growth or they will present growth lot here. If you consider for example the sector of machinery and equipment that last year had a very weak performance at around 12%. The estimates for growth this year it was at least 8% been able to go high as 12%. The construction segment last year we also had great expectations and the growth rose of only 1% but this year this I reach around 4% also supported by the increase on construction materials and sales of other materials for construction. The white goods sector had a very strong 2012 it grew around 12% the projections for this year is that it will continue to grow at around 4%. Packaging that CSN is pretty much the only company in the market for the metal packaging. Also show the very good growth compared to last year we estimate around 5%. The automotive industry is redundant to say that with all the IPI tax incentives to number of new licensing you can develop slightly slower it become strong and remain strong and then a lot of that the dilution have today is slightly smaller than what they had last year. So if you consider the whole scenario in the case of CSN there is no other way that will work on fully throughout the year. We had 1.2 million tonnes in the first quarter. Our guidance for domestic market is 4.8. We wished 1.2 in the first so and the trend is now to keep improving. We shall close the year with the guidance of around 6.2 basically considering 290,000 tonnes for United States, 252 for the Gulf and Germany going back to the range of 800,000 per year. So those will be our volume guidance. As far as price even though there has been a slight decrease in the price of oil in the price of flats nothing reduced loss and what’s happened in today with the balance sheets and what you’ve been able to see especially in Europe is there are few mills have huge losses. Those losses either they are going to decrease the price or decrease cost or increase the financial do both and this is what everybody is doing. So I don’t see if the mill where steel works can survive unless they realize the prices in the market. Here in Brazil in the first quarter we felt we didn’t really feel it so much we probably readjusting in March that had an impact in the domestic market of around 2% more considering the consolidated price would stay in 1%. In the second quarter we shall see an increase in our average price come between 5% to 8% and that can be no market conditions that in my opinion as visible I believe there is possible for us to consider new price increases for the second half of the year. To give you an idea today what bothers the most and sometimes we get it while doing is the direct input of steel of course has been decreasing and I don’t think it will increase before saying. There is no clarity to do that. The premium over the nationalized imported materials to 10% and the difference is not to find methods, imports to the domestic markets directly. On the other had we’re consolidating most are the indirect imports. Our focus was that direct to indirect imports will reach a level of 6 million tonnes or a 7 million tonnes and therefore appraisal for a country like Brazil that is the CSN and then some product work products to raising indirectly to the country and that is it doesn’t make any sense to a country that needs to produce and generate to oppositions etcetera. And going back to imports CSN’s policy and we’ve learned our lesson about encodes in 2010 when we had 4 million tonnes in the country. We will follow the international market like we’re actually the price of the imports and material we know the premium that we are able to maintain and I will follow the competitive maybe of the production teams we belong to or to sum up what I see is the cost going down the cost of flats for else we’ll go down to $500. Our pricing will increase 5% to 8% in the second quarter which is given for all factors and the market will remain strong. So for steel the worst point it was the first quarter from here on now the scenario we have a lot accommodates.
Operator: The next question comes from Natalia Corfield from Deutsche Bank. Please Ms. Natalia.
Natalia Corfield – Deutsche Bank: Thank you. It’s about the indefinites about the calculation of your direction. The earnings $14.1 billion cash and the balance sheet we see $11.3 billion what is the different there? Thank you. That was my question.
Unidentified Company Speaker: Thank you, Natalia for your question that’s an excellent question. It has been no now from the first quarter of 2013 on we have started using the IFRS term which corresponds to CPC at 19 and they level backwards corresponds to CPC fairly fixed for acquiring till this new rules the consolidation method wished the proportion of the consolidated method is now longer allowed from January to 23, 2013. CSN and long consolidating subsidiaries as a whole Namisa, MRS Logística and CBSI and right now they are being recorded by the equity result. So basically we have a change in the counting practices and in the accounting rules but for the company’s management and as well as for comparison effort and some failures we cut some failures to be able to have a comparison day. So what we have disclosed into any trials. Therefore we use the same criteria of that propositional consolidated criteria. That of course you can say and I kept asked and the segment results in the adjusted EBITDA and the adjusted EBITDA margin and in our net debt. Basically the difference that you are asking about is a little bit non-consolidation that we have since January 1st on from Namisa but in terms of management we don’t see how we there is no change and how we manage the company and we are so informing figures following our prior criteria.
Operator: Our next question is from Mr. Ivano Westin from Credit Susie. Please go ahead.
Ivano Westin – Credit Susie: Good afternoon. David, Directors thank you for your question. I would like to go back to this question of investments that you mentioned the component growth we’ll see end of the year with almost in EBITDA around three times under three times. You have loans and financing contracts and I would like to know what those are and if you can give us details. That’s my first question. The second question is about CapEx, Namisa’s CapEx for expansion assumption liked with the first quarter I’d like you to explain the perspective of CapEx for CSN and Namisa throughout the year 2013?
Unidentified Company Speaker: Perfect, actually what we have about this relationship with net debt and EBITDA as I just mentioned, is that we are working with the denominator it as a (inaudible) much lower than what we consider to be stable. And again we would consider a normal level for our CSN operations. What I can tell you is that our expectations is basically to maintain or our maintenance vis-à-vis to close that to the end of the year. And on the other hand, we would clearly have a better EBITDA than what we did last year and what we consolidate d on the last 12 years in the first quarter of 2013. So this leverage will naturally reach that level that I just mentioned which is that we expand to the end of the year we expect a number that will be lower than 3 times. If I just second the mining CapEx if we combined our mining CapEx and the port expansion we contribute that number our expectation is at something around R$1.2 billion for the year, and we will see a natural growth over the coming quarters as we have the sales of business equipments that have already been contracted in all part of our expansion plan so that we can reach the target of 45 million tonnes at the port and with the 40 million at Casa de Pedra.
Operator: Our next question comes from Mr. (inaudible) from Goldman Sachs. Please Mr. (inaudible).
Unidentified Analyst: Good afternoon everyone. I have two questions first about the consolidated plan for CapEx, the company when and how much are you going to spend in each of business mine in the next three or four years? And second question is about Namisa, that relationship between CSN and the consortium, do you have any obligations to what the up to the level of CapEx production and if you have any what are they? And when should you bring a larger these obligations in which quarter should give the best?
Unidentified Company Speaker: Okay that’s perfect I would like to update you as I just said recently we had a review in our consolidated CapEx. First we actually expect that for this year we should have R$3.6 billion in the growth, with consolidated growth. And from that R$1 billion would be steel, R$1.2 billion mining, cement a R$170 million, since projecting that project to R$1 billion, and we have other minor projects such as (inaudible) and some expansion figures. So those are our credit that’s totaled this R$3.6 that I just now mentioned but on these R$3.6 it’s important to take away what we have done in the first quarter this year already. About Namisa, you are right. Originally we do have clauses of coal and from CSN itself and those are basically related to the acquisitions of land also obtaining installation license before some project that we have in that company. Basically these should be trended form the second half of the year on from this year. And it’s important to remember and by the reason mainly of you already know that we are in a position process which has started in the midst of last year with our consortium in which we have a partnership with Namisa. Basically the idea is to have a dropdown of FX run we and to have one single mining company with all mining assets including Casa de Pedra and Namisa itself, Itauguai port and also our participation on MRS. Actually this consortium articles too would change Namisa of having a smaller participation in the company with other asset that negotiation that asset plan is working and it’s coming along in a very reasonable way and as soon as we have anything in newer buy that or more figures stuff we would let you know.
Operator: Our next question is from Mr. Ivan Fernandes from Barclays. Please Mr. Ivan Fernandes, go ahead.
Ivan Fernandes – Barclays: Good afternoon, thank you for this call I have a couple of questions. Think about the covenants you have the covenants that maintained the product maintenance do you have a limit? And the second as just to talk about the adjustment of Namisa and the other subsidiaries that was consolidated before, may be also due to the debt effect on cash to get this information about that if you could?
Unidentified Company Speaker: Perfect, thank you for your questions. About your first question we don’t have financial covenants about in debt on those levels we have normally usual covenants for financial contracts but nothing more specifically connected to what we had about financial covenants and in there is no limits. About the second point, basically this happen as a big change in the accounting criteria where we basically stopped consolidating three companies Namisa, MRS Logistica and CBSI. So these three companies basically at Namisa we had one cash and no debt, practically but first time before MRS when it’s consolidated a proportion of that and then the duration of the each company in the relationship between assets and liabilities but it’s important for you to understand of new regulation do that equation as the company to the new regulation but as I said, this should not affect or change this in the way the company is managed and how the company considered the numbers. It’s important for us to be coherent in terms of criteria and with the way that we analyze our figures and that’s why that chosen to present the numbers this way.
Operator: Our next question comes from Mr. (inaudible) from Merrill Lynch. Please Mr. (inaudible).
Unidentified Analyst: Good afternoon everyone. I have questions about mining. What do you expect as an impact towards the Casa de Pedra and in terms of cost for mining? And my second question has to do with the question is for Martinez he talks about an increase of 5% to 8% in the domestic market enterprises is that correct? Before the call was not very clear, can you please repeat your question so that we can clearly understand what you’re asking?
Unidentified Analyst: Sure, my first question is about iron ore, what do you expect this cost impact be considering the new structuring of operations and Casa de Pedra, because you have the confident in added cost for iron ore and second I would like to confirm the price that I imagine it’s a talk about the increase from 5% to 8% in the next quarter, is that correct?
Unidentified Company Speaker: This is Daniel Santos I’m addressing your first question about cost. Obviously we did have an impact which was an important one in the first quarter cost is going to drop in production especially due to the reclaimer problem. And our plan is to have an adjustment than now along the next nine months so that we can recover and go back to the level that we have in the beginning of the year so we are strongly working to the adjustment and the fixed cost along the next nine months. This is going to be an important thing to do, we have started already doing it in Casa de Pedra follows in the mean time. But the idea is to now by the end of the year our products map as our original plants (inaudible) just to make your work easier in terms of your models in the first quarter we had half rolled from 1550 to 1620 with taxes CIS (inaudible) the 1972 to 1980 out of taxes and charges, I am sorry and metallic sheet with 3,000 with taxes and the second quarter is exactly what you mentioned we should have an average price 5% to 8% higher than the first quarter of this year and I still see a will to possible adjustments in the second half of the year once the premium on the national imported products is around 10% and I understand that new changes and prices in the world considering accumulative results should happen in the second half of the year.
Operator: Our next question is from Mr. Rodolfo Angele from JP Morgan. Please Mr. Rodolfo, go ahead.
Rodolfo Angele – JP Morgan: Good afternoon I’d like to go back to the mining discussion, since this is the day one of the company’s results I would like to ask to try and quantify I don’t know is that in April the production started improving, for what level are you producing asset Casa de Pedra was the production level good and my second question also about mining is how were the final solution dated I’d like you to talk a little bit about firm how long it takes to fix or – the committed solution how much that would cost?
Unidentified Company Speaker: First the solutions were implemented and not of piloted but temporary solutions the alternative solutions and they are permanent worth made investment and those grinding and screening plans regular situation would be increasing in production and they remain for as long as the mine is in operation. So, the actions that I described that on the first front in the mining front under the opening of the mill area with high quality ore, the possible use of the mining equipments the implementation of good grinding and screening even as these are definitive permanent solutions so they have an addition to production from now on. We don’t consider that’s just temporary we will not remove those equipments and installations ever only when the use of, life cycle of the equipment expires. And to face aforementioned some solutions that are alternative permanent solutions as well the installation of the hoppers and the conveyer belt is direct feeding will become once we implement the machine, is replacing the machine that broke that will become alternative to increase production and increase the flexibility of the operation. So we only have positive things to gain from these new devices and equipment and the other point, okay the production level Casa de Pedra in the month of May at a very close pace compared to what we usually have in the dry season the very high number it’s compared to this month of May we will probably be around 7% field what we did in May of last year and from here on we will reach the normal usual production curve that we’ve been classifying historically.
Operator: Our next question comes from Mr. Carlos de Alba from Morgan Stanley. Please Mr. Carlos you may proceed.
Carlos de Alba – Morgan Stanley: Thank you very much, I really like you to answer a few questions what has happened to sales as we’re referring to the finance that speaks so some straight answer would be really appreciated. Can you tell me why is that amount of production of Casa de Pedra and Namisa and third-party approach during the first quarter how much you expect going on this to be this year and next year on a performance basis please that what we really used to get a better sense of what a company will generate. And also if you can tell us where we can really see, we are going to see any growth in the production of iron ore would you guys possibly the most time profitable business? And then my second question is the average of the company is quite high and I understand that the there is a good option that as we are short and as your Namisa was exercised I mean could you relate that between R$2 billion and R$3 billion and given the performance of Namisa actually in the iron ore division I don’t see why there is more exercise in these production so can you tell us what would be the alternative financing of the company would use in case that could have exercised and also you can tell us when the put expires and when or notifies I mean when the date that we can exercise at these front? Thank you.
Unidentified Company Speaker: Thank you Carlos for your questions Daniel will address the first one and then I’ll address the question about Namisa. In the first quarter as we mentioned we have Casa de Pedra and Namisa and iron ore purchasing the total was 5.4 million tonnes.
Daniel dos Santos: Carlos, about your second question. As I just mentioned really there is a pause on the contract signed with our partners and the Namisa pull that allows some of the put option in the second half of this year, but simultaneously we have negotiations as I just said that are advanced and we are looking for an asset consolidation why are we looking for that, because this will basically represent in our point of view several gains of synergies and that for both companies we would have a very efficient and simple operation the pace of CSN would such limited from negotiations are happening and as I said, as soon as we have more information about this we’ll let the market know.
Operator: Thank you. As there are no furthers questions, I would like to turn the floor to Mr. David Salama, IR Director for his final considerations.
David Salama: I would like to thank you all for your participation in this call. Also I would like to say that our IR team is available to answer any questions you might have in the future. Good afternoon.
Operator: Thank you. The earnings results call from CSN is concluded. Please turn off your phones and have a good afternoon.